Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Third Quarter 2020 Results Conference Call. All participants are present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session.  As a reminder, this conference call is being recorded and will be available on the BOS website as of tomorrow. With us online today are Mr. Zev Dekel, Chairman; and Mr. Eyal Cohen, CEO. Before I turn the call over to Mr. Zev, I would like to remind everyone that forward-looking statements for the respected company's business, financial condition and results of its operations are subject to risks and uncertainties, which could cause actual results to differ materially from those contemplated.
Zev Dekel: Thank you. Hello, and thank you for joining our call today. Encouraged by the progress we have made so far, I would like to share with you my view from three different point of views. From a quarter-to-quarter perspective, revenues grew and the operating profit and net income have turned around dramatically. From an annual perspective, all the divisions have made significant progress in sales, marketing, cost structure, efficiency and internal competitive capabilities. From a strategic perspective, the Company is now on a very well executed, consistent path of enhancing and fortifying its competitive position and grow its international business, global business with its specific challenges, risks and opportunities. So I would like to thank you and would like to turn the call to Eyal Cohen, our CEO.
Eyal Cohen: Thank you, Zev. Hello, and thank you for joining our call today. I am pleased to meet our shareholders' expectations for a profitable third quarter and positive outlook for the fourth quarter this year and for the year 2021. Our supply chain and RFID division presented a strong performance in the third quarter and this first nine months of the year, despite the COVID that adversely affected its revenues. The supply chain keeps on record profitability and the turnaround in the RFID division continuing in full force. We are investing in the robotic business to be the growth engine of BOS for the coming years. According to IFR Research, worldwide sales of industrial robots have compounded annual growth of 14%. We plan to realize this growth potential by expanding our North American presence, which we have targeted as a key market for our robotic division. At the beginning of the year, we opened the sales office in the U.S., but the COVID pandemic has made the penetration much more complicated than expected. We have adjusted our sales and marketing plan and made personnel changes to the U.S. sales. I believe that with those changes, we are well positioning toward the year 2021. Accordingly, we expect both revenues for year 2021 to exceed $33 million and net profit of above $1 million.
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question-and-answer session.  The first question is from Todd Felte of RHK Capital. Please go ahead.
Todd Felte: Good morning, Zev and Eyal. Congratulations on a great quarter there, and it was nice to see the turnaround. I appreciate you giving guidance for year 2021, and you had projected $33 million in revenues. What's your current backlog?
Eyal Cohen: Hi, Todd, thank you for the question. Our backlog as of the end of the third quarter was $40 million. So, we still need to bring new deals in the amount of about $90 million for – to meet the target of year 2021. It is challenging, especially when we don't know the future effect of the COVID on the economy and when the COVID restriction will remove. In addition, we have the challenge of penetrating to the U.S. market in the year 2021. So, we have lots of work and challenges. And we embrace it, myself, the Board of Directors, officers and all BOS employees.
Zev Dekel: I would like also to add that Eyal is just now leading us placing in terms the sales, marketing and support infrastructure in the USA. It's a lot of effort, and you begin to see the buildup of this infrastructure, which I believe that will bear fruit as we go along next year, okay, and the years, of course, ahead.
Todd Felte: Okay. Thank you. Also, along with the guidance of $33 million, you projected net income of over $1 million. And if I'm doing my math right, that's around $0.25 a share, which seems like your company is fairly undervalued. Are you planning any Investor Relations events or webinars? I know things are tough during COVID, but was just seeing if you had any IR events on the schedule?
Eyal Cohen: Currently, we don't have IR frame. We don't have IR event. But I believe that next year, we will participate in the conference -- investor conferences. I'm not sure whether we'll take IR frame. I think with the good results, we can -- it will be -- I hope it will be reflected in the share price, but let's see.
Todd Felte: Okay. And finally, reading through the financial statements, I see you have a tax loss carry-forward of around $70 million, and that's over $16 a share. Have you considered any options to utilize that tax loss carry-forward? Or would you be open to being acquired by another company that would want to utilize it?
Eyal Cohen: I think it's a huge benefit. By the way, other companies, in certain cases, record tax assets in the balance sheet and record tax income accordingly. And this will write tax assets on $70 million, I guess, we'll have to record tax income of about -- more than $10 million. We don't use it. We don't use such accounting, but I'm sure that it could -- we will use it in the future. But it's a great opportunity for other companies as well as our public platform as well. So, it's great opportunities for other companies to use such a huge tax loss.
Todd Felte: Okay. And now that you've forecasted consistent profitability, then maybe it becomes more of an asset if anyone was looking to acquire you guys. Just finally, it's been a while since we've had any large contract announcements. Can you kind of just give -- add a little color to the pipeline? What types of companies you're targeting? If you’re – if you expect any announcements in the near future, if you're close on any contracts, just any color since you really haven't had any announcement since July.
Eyal Cohen: Yes. I think that we will start the sales activities in the U.S. in January. We decided to start it after the holidays in the U.S. And I hope that in the first quarter of next year, of year 2021, we will have – we’ll be able to – we’ll release announcement on the contract. This is the plan. Also in the Israeli market, we are penetrating some strategic account here in Israel from the defense industry, from the plastic industry, logistics. And once we will have some -- we will reach to a -- once we will get a strategic order or a significant order, absolutely, we will do – we will release announcement. And for now, we are investing all our effort to -- in the recent nine months, actually, all the effort to build the operational platform and the sales platform of the future growth engine of BOS, which is the robotic business. And I hope that news will come in year 2021.
Todd Felte: Okay. Well, I'll hop back in the queue. Congratulations again on completing the turnaround and for a great quarter. Thank you.
Zev Dekel: Thank you.
Eyal Cohen: Thank you, Todd.
Operator:  There are no further questions at this time. Before I ask Mr. Cohen to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on the Company's website, www.boscom.com by tomorrow. Mr. Cohen, would you like to make your concluding statement?
Eyal Cohen: Yes. Thank you. Thank you for joining our call today, and I'm looking forward to meet you again at our next conference call in March 2021. Thank you.
Operator: This concludes BOS third quarter 2020 results conference call. Thank you for your participation. You may go ahead and disconnect.